Operator: Thank you for standing by. My name is Sheryl and I will be your conference operator today. At this time, I would like to welcome everyone to the Murphy USA Fourth Quarter 2021 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Christian Pikul, Vice President of Investor Relations, you may begin your conference.
Christian Pikul: Great. Thank you, Sheryl and good morning, everybody. Thanks for joining us. With me, as usual, are Andrew Clyde, President and Chief Executive Officer; Mindy West, Executive Vice President and Chief Financial Officer; and Donnie Smith, Vice President and Controller. After some opening comments from Andrew, Mindy will provide an overview of the financial results. We will review our 2022 guidance and then we will open up the call to Q&A. Please keep in mind that some of the comments made during this call, including the Q&A portion, will be considered forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. As such, no assurances can be given that these events will occur or that the projections will be attained. A variety of factors exist that may cause actual results to differ. For further discussion of risk factors, please see the latest Murphy USA Forms 10-K, 10-Q, 8-K and other recent SEC filings. Murphy USA takes no duty to publicly update or revise any forward-looking statements. During today's call, we may also provide certain performance measures that do not conform to generally accepted accounting principles or GAAP. We have provided schedules to reconcile these non-GAAP measures with the reported results on a GAAP basis as part of our earnings press release which can be found on the Investors section of our website. With that, I will turn the call over to Andrew.
Andrew Clyde: Thank you, Christian. Good morning and welcome to everyone joining us today. 2021 was a record year for Murphy USA and our advantaged everyday low price business model continues to position us to win in this environment. Our performance is a direct reflection of intentional decisions to lean into our low-price positions to benefit customers and drive volume to our stores to capture higher structural margins which led to record fuel contribution of $1.1 billion and over $700 million of merchandise contribution. This was particularly evident in the month of December, where Murphy volumes, excluding QuickChek, were slightly ahead of 2019 and nearly twice the retail margin. We believe December and fourth quarter results are noteworthy as we transition from COVID and COVID recovery to a period of inflationary higher prices which increasingly supports our ability to take share through our low-price model and competitive pricing tactics. Our bottom to market price position in fuel, tobacco and other categories remain central to our driving long-term value. First and foremost, the Murphy USA brand has been built on value. As stewards of our brand and reputation, we seek to responsibly over deliver on our value proposition to customers and challenge our highly engaged store managers and associates to over-deliver versus customer expectations. Second, value-conscious customers remain an underserved and growing demand segment in the marketplace and our real estate positions, especially in front of Walmart best position us to serve that customer. With rising inflation further pressuring disposable income across most demographics, a lower priced fuel and merchandise offer will help attract that incremental customer who is seeking value. And last, in an environment where other retailers are facing increased cost pressure, our low-price model serves us as a highly efficient, low-cost method to acquire new customers and reward the loyalty of existing customers. Cost inflation was certainly evident across the supply chain and across the range of markets we operate in, where we are taking appropriate actions with our workforce to ensure we remain competitive in hiring new associates and keeping our stores well-staffed. We've expanded our sick pay and enhanced commission programs to keep store associates engaged in serving the customer and driving sales. While we are carrying some of these costs with us into 2022, we remain as vigilant as ever in our cost discipline mindset which is critical in supporting our everyday low-price model. As we've said before, our low-cost model becomes further advantage during periods of wage inflation as more labor-intensive formats are forced to pass through proportionately higher cost to the fuel margin where we are well positioned to disproportionately benefit from our lower cost and higher volumes. Versus many competitors, our company-owned real estate model is also a big advantage for us in a period of inflation. Because we do not pay cash rent in most of our locations, we are not subject to inflation adjustments on our occupancy cost. As a result of these trends, the company is generating strong operating cash flows, enabling our capital allocation strategy that prioritizes both new store growth and return of capital to shareholders. Additionally, our balance sheet is well positioned given the earnings power of the business in the current environment and creates incremental optionality around how to best deploy free cash flow. We remain committed to accelerating new store growth and the team is working hard to push through the pipeline through permitting and supply chain challenges and deliver up to 45 new stores and 35 raze-and-rebuilds in 2022. We have committed to increasing the dividend, not just in '22 but in the years to come and to returning excess capital to shareholders through opportunistic share repurchases which continue to be our highest return use of excess free cash flow. We will remain flexible in our capital allocation strategy, effectively utilizing the most accretive levers which we are confident will continue generating shareholder value going forward. This call also marks the first anniversary of our QuickChek acquisition and I'm very proud to report our synergy capture is ahead of schedule and our view of the long-term potential continues to increase. As we have begun to incorporate Murphy's scale and thoughtful approach to business transformation, our excitement regarding the future potentials for both the Murphy and QuickChek brands continues to grow. Moreover, our confidence that we made the right acquisition of QuickChek has been validated through our due diligence of other M&A opportunities, none of which had the same quality of assets, the existing earnings power or the future potential we see in QuickChek. From a synergy perspective, we are tracking ahead of our internal schedule targeting $28 million of synergies over a three year time frame, having achieved over $8 million of synergies in 2021, most of which is embedded in our record $1.1 billion of total fuel contribution dollars. The fuel synergies have come primarily from implementing the same principles we leverage in our retail pricing excellence initiative within the Murphy network, better understanding store-by-store demand elasticity and QuickChek's footprint and optimizing pricing tactics accordingly. Secondarily, we've been able to secure more favorable terms in renegotiating supply contracts while leveraging inventory management technology with our fuel carriers. Additionally, through leveraging scale with back-office processing and the elimination of QuickChek executive and advisory board costs, we have achieved $2 million of G&A synergies. As we communicated early on in our integration messaging, our assessment of both direct and reverse merchandise and food and beverage synergies remain back-end weighted but the opportunity set is growing. We have undertaken some important strategic work to better understand market dynamics, consumer preferences and demand segments. This work helps to inform what we can and should do with the Murphy brand and as importantly, what we shouldn't do as well as identifying the greatest opportunities that exist within the QuickChek brand. This body of work will help align our offer to customers within categories where we have the right to win while leveraging the distinctive strengths of each brand. These efforts will also inform our future NTI strategy and continue to generate in-store productivity improvements. I'll now hand it over to Mindy to review some financial items, after which I will review our 2022 guidance. Mindy?
Malynda West: Thank you, Andrew and good morning, everyone. I'm going to quickly review some standard items. Revenue for the fourth quarter and full year of 2021 was $4.8 billion and $17.4 billion, respectively, compared to $2.9 billion and $11.2 billion in the year ago period. Average retail gasoline prices per gallon during the quarter were $3.05 versus $1.87 in the prior year period and for the full year 2021. Retail gasoline prices averaged $2.77 per gallon versus $1.91 in 2020. Adjusted earnings before interest, taxes, depreciation and amortization, or EBITDA, was $216.2 million in the fourth quarter versus $136.3 million in the fourth quarter of 2020. And for the full year, adjusted EBITDA was $828 million versus $723 million in the prior year. Cash and cash equivalents totaled $256.4 million as of December 31. Total debt on the balance sheet as of December 31, 2021, was approximately $1.8 billion, of which approximately $15 million is captured in current liabilities, representing the 1% per annum amortization of our term loan and the remainder a reduction in long-term lease obligations as they are paid through operating expense. Our $350 million revolving credit facility had a 0 outstanding balance at quarter-end and is currently undrawn. These figures result in adjusted gross leverage ratio that we report to our lenders of approximately 2.2x. Turning to CapEx. Capital expenditures for the fourth quarter were approximately $59 million and totaled $278 million for the full year, with QuickChek absorbing roughly $50 million of that annual spend. Of the $278 million combined total spend, approximately $225 million was growth capital, including 18 new Murphy Express stores, five new QuickChek stores and 27 raze-and-rebuild projects. $20 million was set on maintenance across both networks and the remaining $33 million on corporate projects, including critical IT infrastructure investments and other revenue-driving capabilities, including MDR enhancements and other merchandising initiatives. Our total spend in 2021 was below our original and adjusted guidance range of, primarily stemming from delays in our new build program, much of which is billed over into 2022 as two new stores have been completed since year-end and 13 new stores are currently under construction. Despite this level of activity early in the year and as Andrew will address in guidance, the pipeline of opportunities that we can execute in 2022 does remain temporarily impacted by supply chain and other issues. So thank you, everyone. I will now turn the call back over to Andrew.
Andrew Clyde: Thanks, Mindy. Let's close with a review of '21 performance against our guidance metrics and then I'll provide some insight and context around our '22 forecast. Starting with organic growth. As Mindy noted, we added 23 new stores in 2021 and that included five QuickChek stores and the 27 raze-and-rebuilds. This level was below both our originally guided range and our adjusted guided range of between 34 and 38 new stores that we reported in July and 31 raze-and-rebuilds. As noted, the shortfall was largely attributable to delays in permitting and construction but that has resulted in a higher-than-normal level of new store activity in January. Since the beginning of the year, two stores have already been placed in service and 13 new Murphy Express and one new QuickChek store are underway, along with three raze-and-rebuild projects. Given the strong start to our 2022 build program, we are targeting up to 45 new stores, including seven QuickChek locations and up to 35 raze-and-rebuilds which have already been prioritized to backfill ongoing permitting and supply chain hurdles in our NTI program. Our real estate team and organization has the capacity to support and build class of between 50 to 60 new stores, along with up to 25 raze-and-rebuild projects annually and we expect to return to this activity level over the next few years. Moving on to fuel contribution; 2021 fuel volumes of 229,000 gallons average per store month fell short of our adjusted guidance range of 232,000 to 238,000 gallons as Delta and Omicron variants continue to hold back the full recovery, although robust margins contributed to a stronger year-over-year fuel contribution dollars. Looking ahead in 2022, we currently expect fuel volumes to increase roughly 2% to 7% or between 235,000 gallons and 245,000 gallons on a per store month basis. Looking at our store profitability; for merchandise contribution, we delivered $702 million of merchandise margin in 2021, just above our guided range. We plan to continue growing that contribution in 2022 to a range of between $740 million and $760 million or an increase of between 5% and 8%. This growth is attributable primarily to increases in nontobacco and food and beverage categories, supplemented by continued growth in tobacco contribution. Operating expenses excluding payment fees and rent came in at $28,800 average per store month in 2021 within our adjusted guided range of $28,000 to $29,000 APSM which due to onetime items in wage and inflationary pressures experienced in the second half of the year was above our original guided range of $27,000 to $28,000 APSM. Given these trends, we feel like we are relatively well positioned heading into 2022, yet are prudently forecasting a wider range of between $29,500 and $31,000 on a per store month basis or up to a 7.7% increase given ongoing labor market challenges and supply chain disruptions as well as the potential for future regulations that together could effectively impose materially higher cost on businesses like Murphy USA. As a reminder, 2021 results included only 11 months of QuickChek, whereas our 2022 guidance metrics reflect the expected full year impact. Just something to keep in mind when looking at year-over-year comparisons. For our corporate costs, 2021 general and administrative expense was $194 million, within our guided range of $190 million to $200 million. In 2022, we expect the range to move a bit higher to between $200 million and $210 million as we continue to make investments in people and processes that enable new capabilities and support critical strategic initiatives. In 2022, we expect our effective tax rate to remain within a range of 24% to 26%. Last on capital allocation for 2021, our total spend of $278 million ended up below our guided range of $325 million to $375 million, primarily due to delays already discussed. Given current new store and raze-and-rebuild activity, we expect total spending to be in a range of $350 million to $400 million. The majority of this capital is earmarked for growth, approximately $300 million to $325 million as we accelerate our activity with up to 45 new stores, including five to seven QuickChek locations. We expect a range of $30 million to $40 million for maintenance capital and between $20 million to $35 million for ongoing technology investments and other corporate strategic initiatives. As we wrap up our prepared comments, I just want to remind investors of our intentional decision to discontinue fuel margin guidance since 2019. This choice was the outcome of our intent to focus investor conversations more on the long-term potential of the business rather than having less productive discussions and conversations around quarterly moves and fuel margins which can be volatile in the short-term trends but generally fell within a $0.03 range in the year since our 2013 spinoff. We believe shifting this conversation has helped our investors become better informed about the business and they have helped lay the groundwork for a higher valuation. Those benefits aside, we have typically supplemented our guidance with an EBITDA marker for investors, primarily to assist with buy-side and sell-side modeling which suggests a single EBITDA outcome at a specific fuel margin assumption. To continue that practice using the midpoint of the ranges I just provided in a structurally higher yet prudently conservative margin of $0.21 per gallon, we would expect the business to generate EBITDA in the area of $630 million. From an internal planning perspective, this level of earnings fulfills our capital allocation objectives in terms of store growth, a higher dividend and continued share repurchase. In the past, our internal planning estimates stress tested a plus or minus $0.01 a gallon assumption. At this structurally higher but conservative level of $0.21 per gallon, we could certainly expect to see greater upside variability given 2020 and 2021 performance that continues in the current environment. If we do continue to see elevated margin trends, our recently announced $1 billion share repurchase program provides investors clear line of sight as we look to see how we would allocate incremental capital from upside earnings. And with that, operator, we are ready to open up the call to Q&A.
Operator: Thank you. The first question is from Ben Bienvenu of Stephens. Please go ahead. Your line is open.
Benjamin Bienvenu: So my first question is related to your consumer. I think there's a lot of focus on the lower end consumer this year as we cycle past some of the stimulus that we saw last year. And we've seen really across all elements of life here today, broad-based inflation. You talked about your relative positioning in the market as a share gainer in this environment. When you think about the potential trade down by existing consumers in your stores or reduced consumption by existing consumers in your stores versus the incremental market share you might take in an environment like this, what do you think the net of that environment is? And then just as a finer point, what response are you seeing today from your consumers relative to these higher prices that we see in the market?
Andrew Clyde: Sure. Ben, there's a lot of things that if you're doing a variance analysis and try to pick apart new customers you gain versus existing customers, what you might expect, the buying patterns, et cetera, it's hard. But I think with our Murphy Drive Rewards data and insights, we're able to get a deeper view than, say, when we experienced the same type of rising prices in 2007 and 2008. In that prior period, when we saw gas prices approach $3.50 to $4 a gallon, it was really only until you got to about $4 a gallon that we really saw kind of macro demand elasticity fall off. So the first point is I still think there's room to go before the macro demand is impacted. That said, when you start getting above $3 a gallon, $3.25, you absolutely see a shift as customers become more and more price sensitive. Premium customers trade down, the mid-grade and regular customers that wouldn't go out of their way for a few cents, find that that $0.02 really makes a difference. And you start seeing those customers flock to low-priced brands like Murphy but there's also other lower-priced brands out there. So we expect to continue to take share as part of that dynamic. When we look at our Murphy Drive Rewards data, we see some interesting things. Certainly, fill rates go down. They're down at up 9% to 10%, say, 11 gallons to 10 gallons. When you think about our customers, they're trying to see how far they can go on $20 or $40 and what they're doing is they're buying fewer gallons. So they have the same amount of change left over but they're making more trips. And I think that's one of the things that I hope people have noticed is that the nontobacco recovery in the last quarter and the year was really nice and a lot of that is attached to fuel transactions. And so I think when you take all of this together, we would expect to see a net benefit from it. Our customers still have to get to work. They're still buying the most essential products that they need to buy. They're going to go out of their way to find value and we're going to be best positioned to give them that value.
Benjamin Bienvenu: Okay, very helpful. My second question is revisiting in I think March of '21, you guys gave some outlook into 2024 around EBITDA guidance and kind of what the business might look like. Can you remind us what fuel margin -- oil and fuel margin was assumed in that $700 million EBITDA guidance?
Andrew Clyde: Certainly. So back in '21, we still -- we have one year of coated and the expectation certainly was that margins might return to some structurally normal level. I will look to Christian to give us the exact margin figure that we used in that period. But the world has certainly changed. I mean then you remember before 2020, we were all talking about, well, can you sustain $0.16 per gallon. And that seemed like a stretch given where we were since the spin. And so we've seen a higher structural margin the lower volume levels. We're seeing the volume recover but we're seeing a much higher residual level sustained by the pass-through pricing that we're seeing in the market and our ability to capture that. And so I think as we noted in our marker in the past, we might have been looking at $0.16, plus or minus $0.01 for conservative planning purposes, we're at $0.21 plus or minus $0.01 at $700 million in the past, we probably would have been gradually getting that level and at higher volumes. We're probably seeing more upside than downside in any stress testing that we're doing. But we can get back to the assumption on what that 2024 number was for that $700 million EBITDA marker then.
Benjamin Bienvenu: Okay, great. Thank you so much.
Operator: Your next question is from Bonnie Herzog of Goldman Sachs. Please go ahead, your line is open.
Bonnie Herzog: All right, thank you. Hi Andrew, how are you?
Andrew Clyde: Good. Good morning, Bonnie.
Bonnie Herzog: Good morning. I actually wanted to ask about the $0.21 per gallon for fuel margins that you called out. I know you're just sharing this for modeling purposes only. But I guess I'd be curious to hear from your perspective, how realistic or maybe conservative do you think that might be? I guess I'm thinking about the context of what we're seeing with the rising fuel cost environment, should we assume your margins step down, I guess, from the recent highs that we've seen but ultimately stay elevated versus your historical performance?
Andrew Clyde: Sure. Look, if I was to do just a simple walk forward from our historic $0.16 which we used to challenge ourselves on these calls a lot about how are we going to sustain that given where we came from and walk it up to the $0.21. I mean, we've effectively seen some benefits from QuickChek being a higher-margin market, especially with full serve, we look at the structural margin that you just said, hey, the higher breakeven cost using, say, the next third quartile and the volume assumptions, you would think that, that might give you $0.01, $0.02 a gallon in terms of what we should be able to retain but significantly larger amount of that residual. And I think as we look forward, I think we got to ask ourselves, what is going to happen structurally to the marginal player and their need to pass through higher prices. And then given the competitive dynamics, what are we able to do, especially in a high and rising price environment where credit card fees are one of the biggest headwinds to everybody. And so I think as we get to that $0.21 marker, if you look at the last two years, there's a lot of evidence that the market is passing through a much higher level because it needs to and has to and we're able to retain another $0.04 to $0.05. But that's probably not a very prudent number to plan around. We want to, as a company, as a board, make sure that we've got line of sight to our capital allocation priorities, our growth, our dividend, our share repurchase plans. And so that's why this is a very prudent conservative marker to use. But as I've noted in investor meetings over the last few months that there's probably more upside to a number like that than downside where in the past, we kind of always looked at a plus or minus $0.01.
Bonnie Herzog: Okay. No, that's helpful. And it will be interesting to certainly see how the year plays out. And then, I guess my second question...
Andrew Clyde: One of the things that we only saw in December but we've seen rising prices throughout all of 2021. And so I think that's something else to keep in mind the level of margin we achieved in a primarily rising price environment, equaled out of 2020 where we saw that steep fall off. So I don't know where oil prices are going to go, right? And if they keep going higher, that means at some point, they'll just have further to fall. And so in the high price in future volatile environment, that there's areas for more margin upside structurally in some period in the future.
Bonnie Herzog: Yes, it's a good point and volatility is the key there. So that will be interesting. And then I guess Andrew, my second question is thinking about the CapEx guide which is up and then you're certainly focusing on growth. But at the same time, you've got this aggressive $1 billion buyback program. So how should we think about all of that in the context of your free cash flow and maybe appetite for future M&A or further M&A? Are you guys still open right now and exploring especially given the success it seems that you've had with QuickChek -- or do you think it's still more focusing on continuing to integrate QuickChek.
Andrew Clyde: Yes. So we'll go back to the messaging around QuickChek when we made the acquisition. It was all about capability building. How do we acquire a food and beverage capability, know-how, insights that we can leverage for the future. And we felt that was such a unique asset, such a strong brand and positioning it would be better to buy that capability than try to build it. And we've seen a lot of companies try and fail and we've seen others try and succeed but take a couple of decades to do that. And so that was the real purpose of that acquisition. Certainly, we've been in the deal flow but after you do something like that and catch people by surprise, you're absolutely in the deal fluent. We saw a lot of transactions last year. And as we noted in the prepared remarks, nothing came close to the quality of assets, the earnings, the earnings potential of QuickChek nor did we see something that had a capability that we said, "Wow, we could really leverage that and learn from that. One of the other things we noted was that, well, maybe their quality regional midsize change for which we could leverage the QuickChek brand offering, capability, some or all of the above to those brands and formats. And we frankly, didn't see anything here that it was. And so while look, we're never going to say never I would just reemphasize that QuickChek was a strategic acquisition on a -- with a very focused purpose. And we've seen nothing else out there that looks anything close to that or comparable from a different capability standpoint or something we feel really good about trying to leverage that capability on from a quality of asset standpoint. So M&A is not a target area for future capital allocation. And so we're really focused on our organic growth. The permitting process has been frustrating. You've got a lot of local and even DOT offices that remain short-staffed, closed for periods that just delays that process. And so we look forward to getting up to that 50 to 60 NTI range that we had talked about. Fortunately, we've got a great portfolio of future NTI candidate -- I mean, sorry, raze-and-rebuild candidates. And in the current environment, they look even more attractive than they did two or three years ago. So, I think it's nice and I hope folks noticed the ability to just shift our CapEx focus to those raising rebuilds and convert some good performing kiosks to even higher-performing small-format stores. And we're going to be able to do that within that range of EBITDA marker that we gave. And certainly, if we see to every year for the next few years from a structurally higher margin or $0.04 or $0.05 for one year, we've given investors a clear line of sight where that additional margin would go towards with our newly announced share repurchase program. And we do have a history of completing those sooner than the time frame that we typically announce.
Bonnie Herzog: Okay, I appreciate that. Super helpful.
Andrew Clyde: Thanks.
Operator: [Operator Instructions] Your next question is from John Royall of JPMorgan. Please go ahead. Your line is open.
John Royall: Hey guys, thanks for taking my question. Congrats on the entire year of four-third quarterly beat. So really impressive. So I appreciate the update on the QuickChek synergies and sounds really encouraging so far. I think you said you're at $8 million now. Is there a number of kind of where you expect to be by the end of the year? And then what would you need to see to bump up that $28 million target a little? I know a big chunk is backing wait on to understand why it may be a little early at this point. But just any thoughts there would be great.
Andrew Clyde: Sure. We're not ready to announce the year two numbers. That will be something that will be forthcoming in our investor conferences which I think we have lined up beginning in March group. So we'll have a more fulsome update at that time. Look, on the $28 million, this is something we've talked about. At what point does it help to raise that number versus just recognize that what we're effectively doing for the QuickChek business is largely what we are doing for the Murphy USA business, taking a really good business and making it better. Going through the thoughtful business transformation approach, identifying continuous improvement opportunities, making that part and parcel to the earnings growth cadence every year. And I think that's probably how we're thinking about it right now. So rather than saying at the end of this year, hey, we're going to bump it from 28 to -- I'm just making up a number in I think what you'll start hearing us talk more about is they hear the nature and range of the additional continuous improvement, productivity improvement, pricing, promotion, loyalty, delivery opportunity that we get from combining two really strong but different businesses together. So I hope that's helpful. But at the same time, I hope that you can think that, hey, applying that same mindset that we did to our business at the spin to another business that share some of the same characteristics our business did at the time of the spin. But there's just going to be a lot of additional opportunities that we didn't see and whether we call it synergy or just build it into the future year guidance. I think at some point, it becomes a little bit less relevant, what you call it as long as it's flowing through into earnings growth.
John Royall: That's really helpful. And then, can you talk a little bit about the same-store margin number for 4Q for non-baccar merchant [ph] is it was a pretty big number. I'm just wondering what categories are driving that? And could you see some mix up from a margin perspective there?
Andrew Clyde: This is on the non-tobacco growth...
John Royall: Yes. I think you had like 11% same-store growth on the back on margin.
Andrew Clyde: Yes. So packaged beverage, the massive candy promotion that we over delivered on in October. And then just to come back in the snack category were really the big drivers there, John. And really, what we saw there is the attached to fuel component of it was really strong. And so that was the area that was weakest in 2020 and early '21 in COVID. But as the fuel recovered in Q4 nicely, you saw those attached categories come back along with an increase in the promotional activity which really engaged our staff but also engaged our customer. I think one thing I'd note is, we're talking as a team is like, I can't remember when we had a worth the only APSM number that was higher than the full year in a December number that was higher than October, November on a constant basis. So, we're seeing a nice sequential acceleration through the quarter into the New Year. I think there was a little lag burnout of the holidays and some weather stuff that we see in January versus we saw in February last year. But we feel really good about that and we feel really good about the attached to fuel categories that really shined in Q4.
John Royall: Thanks very much.
Operator: Your next question comes from Bobby Griffin of Raymond James. Please go ahead, your line is open.
Robert Griffin: Thank you. Good morning, everybody. I guess, Andrew, I want to first start back on fuel a little bit. And just a couple of different questions to kind of come out and maybe a little bit of a different angle. But when you look at your price gaps for peers and the smaller operators is they're having to raise their prices for this cost environment that's taking place, are you able -- are you seeing your price gap stay stable or your price gaps actually why do we -- which would highlight the even bigger structure advantage that you have in this environment?
Andrew Clyde: Yes. Look, there's not a one science fits all because we do our pricing, whether it's fuel or tobacco, et cetera, store-by-store market by market. But generally, we're going to become more differentiated in our pricing in this type of environment. So widening differentials on the average. And a lot of that's going to be a function of which doors are more elastic and that widening creates that additional value. But the key is absolutely staying everyday low price, right? Even the notion that in this environment, you could close the gap of $0.01 or two and reduce the differential and pick up that margin. That's the last signal we want to be sending inflation pressed customers right now. So maintaining it or increasing it is going to be our focus to pass on some of that additional value to the customer. And it's really during these times. This is when our brand and reputation gets cemented in the eyes of our customers.
Robert Griffin: Absolutely. That's helpful. And then when you look kind of over the last three quarters, the fuel margin all-in have been incredibly stable, $0.27 to $0.28, basically in round numbers. When you look at your monthly margins versus historical levels or first kind of historical performance, is the monthly also a lot more stable today than has been historical in terms of like does it bounce around a lot from month to month?
Andrew Clyde: It's probably a little more stable but it's probably Bobby, because we're just seeing prices rise continuously. And so if you think about the history, we kind of got used to a low and rising price environment in Q1, where -- I mean we're looking at less than $0.10 margins, certainly less than 10% retail margins. And then we'd always have, okay, or price is going to fall in late April. Are they going to fall in May or are they going to fall in June, right? And then, you would see the higher volume in the summer driving season and then typically with some of the changeover prices fall off. But if you have an OPEC announcement like we did in one year, maybe I think 2016 maybe see prices rise and then fall off pretty good in the fourth quarter. I mean, look at what happened in 2021. I mean, prices were rising most of the year. We got a little bit of a break in December. And so I think the main reason we're seeing more consistent margins quarter-to-quarter and month-to-month is we're in the same structural price environment quarter-to-quarter and month-to-month where historically, we would see kind of the quarterly patterns that I described and it was anyone's guess when prices would peak or hit the bottom in the past. I don't know if that's helpful but I think that's a better way of characterizing -- and in fact, my comment to Bodas like, at some point, we're going to achieve a new equilibrium around the supply and demand globally with crude. It's going to be more stable. And yes, there'll be some geopolitical banca will cause it to go up a little bit more. And -- but I'm sure at some point, there are going to be some price signals for oil and gas companies to deploy capital. And at some point, you will see supply demand get back in check. We'll see a period of falling price environment. We'll have even higher margins and the ability to pick up more volume. So, I think it's even impressive what we accomplished last year given the nature of the price structure.
Robert Griffin: Yes, that's why in -- I mean a rising environment that we kind of were in for the whole year and the margins have been incredibly impressive and the performance has been rock solid. So that's what I was kind of digging into. And I guess, just lastly for me on the tobacco category. Obviously, very base in Paris. So think about it on a two year basis as well. But -- are you starting to see some of the more normal behavior come back where like during the pandemic and stuff, people are buying more kind of cartons and then we're going back to maybe single packs and stuff like that in the category starting to go back and behave as the category was behaving precoded in terms of units down on pricing getting passed through that type of stuff from an industry perspective?
Andrew Clyde: Yes. So here's what I would say. We didn't see the pain -- so, I think the two year stack is the right thing to look at. And even with the more flattish numbers in Q4, what that's really saying is as certainly cigarette volume kind of starts going back to normal trends, we've been able to hold and gain share as a result. So I'd say that the two big differences are -- you're not seeing the pantry loading and you're not seeing the -- probably the same level of consumption that when you think about from a social standpoint, return to work standpoint that you saw during the early COVID and lockdown period. We are continuing to see elevated carton sales. And I think what we demonstrated to consumers during the pantry loaded period was they get a better value at Murphy USA, multipack discounts on cartons, Murphy drive rewards, benefits, et cetera and we've kept those customers and gained some of their other business. We also know in Q4, smokeless was up nicely. And so some of that probably reflects some of the poly-use habits of consumers in a return-to-work environment where they may not smoke but they may choose a non-combustible product to go to. So we're still bullish on the category from a contribution margin growth standpoint, even as the industry kind of returns to normal levels, also bullish on the innovation across the board as well as customers kind of migrate to lower risk products.
Robert Griffin: Thank you. Congrats, again.
Andrew Clyde: Thank you.
Operator: There are no further questions at this time. I will turn the call over to Andrew Clyde for closing remarks.
Andrew Clyde: Great. So Ben, just to get back to your question, in that kind of raise the bar slide that we've used in our Investor Day, we started an $0.18 and ramped up to $0.19 over the period. And so the $700 million in that example would be a little over $0.19 per gallon average. So you see that walk take place over that period. So look, the next four to five year outlook, obviously, can be quite a bit higher than that, given the structural margin given the contribution from organic growth and the ability to capture the residual that we're currently doing. So I hope that follow-up addresses that question. So -- but again, everyone, thanks for your questions and comments today. We're excited about the kind of business that we've built since our spin that has allowed us to achieve the results we've achieved in 2020 and 2021 and are very confident that we're going to be able to continue to leverage those capabilities to continue to generate shareholder value in the future regardless of the environment that we find ourselves operating in. Thank you and we'll look forward to any follow-up questions and calls later this week and next. Take care.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.